Operator: Ladies and gentlemen, thank you for standing by and welcome to the TravelCenters of America Fourth Quarter and 2014 Year End Financial Results Conference Call. For the conference all the participants' lines are in a listen-only mode. There will be an opportunity for your questions. Instructions will be given at that time. As a reminder, today's call is being recorded. I will turn the conference now to Ms. Katie Strohacker. Please go ahead.
Katie Strohacker: Good morning and thank you for joining us. We’ll begin today’s call with remarks from Chief Executive Officer, Tom O’Brien, followed by remarks from TA’s Chief Financial Officer, Andy Rebholz before opening up the call for your questions. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, March 13, 2015. The forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC's website at www.sec.gov or by referring to the investor relations section of TA's website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. The recording and retransmission of today’s conference call is prohibited without the prior written consent of TA. And with that, I'll turn the call over to Tom.
Thomas M. O’Brien: Good morning. Thank you for joining our call. I'm going to discuss the highlights in our full year and fourth quarter financial results, key drivers contributing to those results, provide an update on our acquisitions and our development pipeline, our financial strategy and conclude with a few thoughts related to our business in 2015. Then I'll turn the call over to Andy for a more detailed look at the financials before opening up the call for questions. 2014 was a very good year for TA. I'm pleased to report our financial results that reflect significant growth over the prior year. The strength of these results reflects our commitment to provide customers with competitively priced fuel and nonfuel products and services necessary to support and enhance their travel experiences. EBITDA for 2014 was $398 million or 33% above the prior year. EBITDAR for 2014 was $181 million more than 100% above the prior year. Net income for 2014 was $61 million or 93% above the prior year. Net income per share was $1.62 for 2014 as compared to $1.06 for 2013, 53% increase. For the fourth quarter of 2014 EBITDAR was $129 million, EBITDA was $75 million and net income was $34 million each representing a significant increase over the 2013 fourth quarter. Net income per share was $0.91 for the 2014 fourth quarter as compared to $0.39 for the 2013 quarter. The significant improvements in our financial results in 2014 as compared to 2013 were largely the result of the following factors. First is the success of our acquisition program. For the year 2014 sites purchased since January 1, 2011 contributed $60 million to EBITDA up from $26 million for the full year 2013. The disclosures we’ve made showing operating results and investment in the properties acquired during each year since 2011 clearly indicate not only the positive and substantial addition to our operating results that have come from our acquisitions of travel centers and convenience stores, but also the value creating quality of our renovations and our operating abilities. For example, the 2014 operating contribution of the six travel centers acquired in 2011 were $17.2 million or about 20.5% of the total $84.1 million acquisition and renovation cost of those travel centers. Similarly, the 2014 operating contribution of the 14 travel centers acquired in 2012 was $20.9 million or about 26% of the $80.5 million total acquisition and renovation costs of those travel centers. The second factor driving our improved 2014 results is the increase in gross fuel margin. We continued our focus on making the most of opportunities presented to us by the fuel market and on avoiding lower margin fuel sales we greatly benefited when commodity prices of fuel products declined during the second half 2014. This environment helped us increase our 2014 gross fuel margin per gallon by 26% over 2013. The third factor I believe has caused our improved results is the impact of our internal growth projects including a continued push further into add-on activities and enhancements to our existing initiatives like Reserve-It Parking, RoadSquad Connect and RoadSquad OnSite all of which seemed to be experiencing increasing interest from our customers. Regarding acquisitions, we've had a number of successes in recent months and our acquisition pipeline is reasonably full. During the fourth quarter of 2014 we acquired one travel center for about $3 million. To-date during the first quarter of 2015 we've acquired two travel centers including one we previously operated under a management agreement, a parcel of land for truck stop development, and 26 convenience stores, principally in Minnesota and Kentucky for an aggregate of $47 million. As of today, we have purchase agreements in place for one travel center for $3 million and for 19 convenience stores for $28 million. Our activities in the convenience store space have included a successful integration of the 31 Minit Mart stores we acquired in late 2013. During 2014 these properties contributed to EBITDA largely as expected and while we did incur some additional effort and expense in the early going, we now consider them stabilized. Our integration activities for those stores included our recent entry into a fuel supply arrangement directly with Marathon Petroleum whereas historically our fuel at these sites was purchased through a jobber and we've added elements of our existing business like purchasing of merchandise under national contracts, product distribution through our distributing division and upgrading these stores coffee offer to our proprietary World Blends brand. So far during 2015 we've acquired 26 convenience stores for an aggregate of $36 million and are in the process of undertaking similar conversion activities for these stores. Many of these 26 additional stores will include integration activities like rebranding them to the Minit Mart brand and likely upgrades of existing food offers with quick service restaurants. Together these 26 locations have an average of 3600 square feet of store space and eight fueling points. As I mentioned, we also have 19 convenience stores under contract to purchase principally in Missouri. These locations have an average of 3900 square feet of store space and 10 fueling points. As I've also mentioned a few times in the past, we're undertaking a limited amount of new build development plans in the truck stop space. To-date we've broken ground on one new full-service travel center in Texas and we are likely to break ground on three others during 2015. In December 2014 we completed a $120 million offering of senior notes that will likely be put to work during the first half of 2015 in completing the acquisitions and the related renovations I've described. Recently we began a focus on enhancements to our existing customer offer in the convenience stores including those convenience stores within our truck stops. In 2015 we expect to begin branding of the travel store portion of our truck stops as Minit Marts. We also expect to enhance local marketing efforts for our full-service restaurants. Both of these initiatives are designed to increase our business with local or four-wheel driver customers. In the truck driver and fleet customer part of our business, we expect we'll continue to see slow but steady decline in same site volume as vehicles with higher fuel efficiency continue to come into service. One of the ways we seek to overcome the impact of fuel engines efficiency is the way we approach professional drivers and fleets today. It's very different than the way our competitors approach customers today. Our sales force can deliver not only fuel, but also truck repair and maintenance services, adequate parking, full-service restaurants operated by our employees in a very broad array of additional amenities. It is this combination that has in my view only just begun to be recognized by large fleets who find efficiency and value in this integrated or full-service approach to the truck stop business. Again in my TA's real competitive advantage in that business is our ability to offer truck drivers and fleet managers a full combination of products and services. In fact, I believe that if TA did not offer these products and services in combination it is likely that the volume of each part of our business could decline. Before turning the call to Andy to discuss what was obviously great financial results in 2014, I want to add one small cautionary note and that is a comment on our per gallon fuel margin particularly in the fourth quarter of 2014. In that quarter, our gross margin per gallon was nearly $0.28 or $0.11 per gallon over the same measure in the fourth quarter of 2013. As I've mentioned before, the decline in the wholesale commodity price of fuel during the latter part of 2014 was responsible for large part of this outperformance. While some of the beneficial impact for the product cost decline spilled over year end particularly in January of 2015, I don’t expect margins per gallon in the first quarter or the balance of 2015 to be as high as they were in that fourth quarter of 2014. And now Andy Rebholz, the Chief Financial Officer will point out a few financial highlights.
Andrew J. Rebholz: Thanks, Tom and good morning everybody. I'd like to make some more detailed comments about some key financial results for the 2014 fourth quarter and full year. Please keep in mind that when I say same site results, I'm speaking to results of those sites we have continuously operated since the beginning of the comparable period in 2013. First I'll cover our fourth quarter results. We reported EBITDAR of $129.4 million for the 2014 fourth quarter an increase of $61.2 million or 89.8% versus the adjusted EBITDAR for the fourth quarter of 2013. EBITDA of $74.5 million for the 2014 fourth quarter was $69.3 million higher than in the 2013 fourth quarter. In the fourth quarter of 2014, TA generated net income of $34.3 million or $0.91 per share a substantial improvement over the prior year quarter when we had posted net income of $0.39 per share. These significant increases over the prior year quarter results primarily were driven by the $54.6 million increase in fuel gross margin for the quarter versus the prior year quarter and the continued increase in contribution from our recently acquired sites. Offsetting these favorable factors are income tax provision for the 2014 fourth quarter was $46.9 million more expense than in the 2013 fourth quarter when we recognize the $29.9 million benefit from the reversal of the previous valuation allowance on our deferred tax assets. on a same site basis our 2014 fourth quarter fuel gross margin increased by $48.7 million or 57.8% more than in the comparable 2013 quarter. Our per gallon fuel gross margin increased by 62% on a same site basis offset somewhat by 2.8% decline in our same site fuel sales volume. We attribute the decline in same site fuel sales volume to fuel conservation initiatives by truckers, including the use of more energy-efficient truck engines, as well as our efforts to avoid lower margin sales. Our nonfuel revenue on a same site basis during the 2014 fourth quarter also increased by $23.5 million or 6.8% versus the 2013 fourth quarter. We believe that the increase in nonfuel sales reflects the continued improvement in the results at sites we acquired in 2011 and 2012 as well as the impact of our various customer service and product expansion initiatives. Our nonfuel gross margin, as a percentage of nonfuel sales on a same site basis, increased by 90 basis points to 56.3% for the 2014 fourth quarter. Our site level operating expenses on a same site basis increased by $8.8 million or 4.8% versus the 2013 fourth quarter. This increase reflects the higher volume of sales in the 2014 quarter. Although the dollar amount of operating expenses increased, the ratio of operating expenses to nonfuel revenues improved, declining by 100 basis points from the 2013 quarter to 52.3% in the 2014 fourth quarter. Our selling, general and administrative cost of $28 million for the fourth quarter of 2014 were $8 million lower than in the 2013 quarter largely due to the $10 million litigation charge we recognized in the 2013 fourth quarter and an increase in personnel costs during 2014. Now I will turn to the results for the year ended December 31, 2014. EBITDAR for 2014 of $398.4 million was $98.9 million or 33% greater than adjusted EBITDAR for 2013. EBITDA for 2014 of $181.3 million was $101 million higher than in 2013. TA's net income for the full year 2014 was $61 million or $1.62 per share compared to net income of $31.6 million or $1.06 per share for 2013. For the annual periods, the significant increases were attributable to the same factors as for the fourth quarter; higher fuel gross margin per gallon and continued improvement in results from recently acquired sites. On a same site basis our 2014 fuel gross margin was $62.9 million or 18.7% higher than in 2013. As a result of the 24% higher gross margin per gallon offset somewhat by 4.4% decline in same site fuel sales volume. Our nonfuel revenue on a same site basis during 2014 also increased by $58.2 million or about 4.1% versus 2013. Our nonfuel gross margin as a percentage of nonfuel sales on a same site basis was 55.6% for the 2014 year representing a 60 basis point increase from 2013. Our site level operating expenses on a same site basis for 2014 increased by $21.8 million or 2.9% versus 2013. This increase reflects the costs incurred in support of a higher level of nonfuel sales partially offset by our success in controlling costs. While the amount of operating expenses increased in 2014 over 2013, the ratio of operating expenses to nonfuel revenues improved declining by 60 basis points to 51.4% for 2014. Our selling, general and administrative costs of $106.8 million for the year 2014 were $600,000 less than in 2013 largely due to that $10 million litigation charge recognized in 2013 and offset by increased personnel costs and certain costs incurred during 2014 with respect to the delayed reporting of our 2013 financial statements and the remediation of our controlled efficiencies that led to that delay. And now, Tom and I will take your questions. Operator, do we have any questions?
Operator: Thank you. [Operator Instructions] And we'll go to Ben Brownlow with Raymond James. Please go ahead.
Ben Brownlow: Hi, good morning.
Thomas M. O’Brien: Hi, Ben.
Andrew J. Rebholz: Hi, Ben.
Ben Brownlow: Hi, congrats on a very good quarter.
Thomas M. O’Brien: Thank you.
Ben Brownlow: On the same-store sales side, I'm just trying to get a sense for what the same-store sales trends are at the more legacy store base. So I guess, can you exclude or I guess just give us some color on what you're seeing on the demand trends with kind of the site excluding the acquisitions of 2012-2013?
Thomas M. O’Brien: Sure. If you look at those sites that are we’ve owned or that we operated as of January 1, 2011, so excluding all those sites same-store sales are up about 6% and nonfuel sales, excuse me yeah, nonfuel sales were up about 6% and store in there is a little outperforms a little bit, but it’s across the board positive for each one of the revenue sources that we've got.
Ben Brownlow: And is that primarily just an increase in traffic count or are you seeing a trade up with - to more premium priced items within categories?
Thomas M. O’Brien: Well, it's a combination of course the pricing. We’re pretty vigilant about the new offerings both in the shop with, when I say shops excuse me in travel, the truck service portion of our business, new offerings including things like alignments, RoadSquad OnSite, RoadSquad Connect in the store a big piece of the store increases, increased demand for diesel exhaust fluid, for example, but also the benefits from the rollout of the coffee offer and frankly just continuous improvement in merchandising. The same holds true for the restaurant, our full-service restaurant business and our quick service restaurant business are both up.
Andrew J. Rebholz: Some of that is due to the fact that we think that, we tend to have a little bit more traffic particularly in the quick service restaurants as gasoline prices decline. That’s because consumers got a little bit more money in their pocket and they are more prone to eat out, especially if they are 50 feet away from a restaurant. A lot of factors went into that, some having to do with things that saw the markets that handed to us, but most in my view having to do with the way that we approach each of those businesses.
Ben Brownlow: Okay, that’s helpful. Thanks for the color. And on the Minit Mart, I assume there is a little chart rolling to reach the same-store sales base, any color on kind of the same-store sales trends or the impact you expect?
Thomas M. O’Brien: That’s certain, because we acquired those in late 2013 and that’s treading on guidance, but and which we don’t give as you know, but I will tell you that we found the historical operations of the Minit Marts to be very strong. There is food offers in probably all of them. We are tweaking it. We’ve opened for example recently a Dunkin' Donuts offer in the Minit Mart, the original Minit Mart and so we think there are opportunities there as well, but they are not sort of in the magnitude that we would find when we purchase and renovate a truck stop.
Ben Brownlow: Helpful and just one last one, I’ll jump back in the queue. The fuel margin, you mentioned abating into 2015. I assume both diesel and gasoline margins were at record levels in the quarter if you exclude the contracted volume, how much, I guess I'm trying to figure out how much of it was on a contract or cost plus basis versus variable, kind of what was the big driver in the quarter, was it diesel or gasoline and I’d be interested on your perspective or view or thoughts on the catalysts to what's really holding diesel margins still higher relative to historical measures?
Thomas M. O’Brien: There's a lot of stuff in there and some of it sort of threads on things that I can’t talk about for competitive reasons and similar, but I think maybe the best way to think about fuel margins sort of going forward, which is I think kind of sort of what you're getting at, is to look at the fourth quarter 2013 through third quarter 2014 as the base. And you know, I can’t break down for you how much of our outperformance in the fourth quarter was really could be quantified as that which was caused by fuel price - fuel cost decline and how much was us doing things like rolling lower margin business, etc. After that, again look at the last 12 months ended September as a base for going forward.
Ben Brownlow: Can you remind us how much of the volume is on contract basis?
Thomas M. O’Brien: I don’t think I'm able to disclose that.
Ben Brownlow: Thanks again, guys.
Thomas M. O’Brien: Okay.
Operator: [Operator Instructions] And we’ll go to Alvin Concepcion with Citi. Please go ahead.
Alvin Concepcion: Hi, good morning.
Thomas M. O’Brien: Hi Alvin.
Andrew J. Rebholz: Hey Alvin
Alvin Concepcion: Hey congrats on a great way to end the year. I just wanted to follow up on the fuel gross margin point. Just to clarify is it still trending up year-over-year in the first quarter and do you have an outlook for the year?
Thomas M. O’Brien: I don't have an outlook for the year, oh well, I have one, but we don’t give guidance and so, I'm unfortunately going to be unable to answer that question. I can tell you is that when I commented that there was a spillover impact particularly into January of this year from the decline in prices, I guess I would say was as of right now we still got 14, 15, 18 days left in the quarter here, as of right now we are feeling pretty good about fuel margins versus first quarter last year, but again I'm not predicting a repeat of the fourth quarter, I thing that's what I can tell you Alvin.
Alvin Concepcion: Great, thank you and my other question is about the profitability of sites that you’ve acquired in the last three years. It looks like the growth rate on a year-over-year basis has seemed to accelerate at a faster pace this quarter versus the last couple quarters. I'm wondering if you expect that rate of grow to continue to accelerate as a larger tranche in those new sites acquired over the past year it gets closer to the maturity?
Thomas M. O’Brien: Well, I think as we've gone through our acquisition program it's not, 2014 was in the process of just doing what we did in 2011. I think we are getting better at it and that means on boarding fleet business faster than we did three years ago. That means completing renovations generally speaking faster than we did four years ago and I think that’s a lot of what you’re seeing. The other element in there is that I've mentioned a few times in the past, adding the Minit Mart stores and that was not much of a turnaround story, reasonably stable operations and so that will impact acceleration that you see in the numbers too.
Alvin Concepcion: Okay, thank you and I had to ask what are your thoughts on the view out there that there's a good amount of value in monetizing your real estate, your lease backs or paying off the truck repair segment, could you talk about the strategic value of keeping that?
Thomas M. O’Brien: Sure. You’re talking about the letter that we received and that was published by its author, and I guess at first should say we treat all shareholder communications with a great deal of importance and we’ve considered the things that are in that letter. I'll give you a little color on those considerations. Really as you mentioned, there’s two principal pieces of it. One is don’t you have widely valuable real estate and the second is, should you consider separating some portion of your business? I think with regard to sale-leaseback transaction our public disclosures for years and comments about that have certainly characterized our own real estate as a potential source of liquidity and the increasing operating results at those facilities that you can see in the disclosures you mentioned in your prior question. Frankly, I think that’s a wellspring of shareholder value creation and so, we regularly think about sale-leasebacks when that may be appropriate option for the company. I don’t know what else I could say. On the suggestion about the separation of a portion of our business, my view has been and has been for a long time that the best way for us to attract and retain customers and grow not just the size, but the depths of those customer relationships, all of those things in my view add value for the shareholders. The best way to do that is the way that we're doing it. I’ve talked about our integrated or full-service offering as a competitive advantage that we have over our competitors. I think there's probably some pretty big risks that would stem from making our offer any less integrated than it is today. I think that’s what I can say about that.
Alvin Concepcion: Appreciate the color. Thank you very much and congrats.
Thomas M. O’Brien: Thanks a lot Alvin.
Operator: Our next question is from John Lawrence with Stephens Inc. Please go ahead.
John Lawrence: Thanks, good morning and thanks for [indiscernible].
Thomas M. O’Brien: Hey.
John Lawrence: I’ll extend my congratulations as well, nice quarter.
Thomas M. O’Brien: Thank you.
John Lawrence: So coming back to the merchandise comps and more specifically the truck repair, the comps were quite strong in the quarter. You highlighted all of the segments were strong, but were there any parts of the country where you perhaps saw stronger truck repair results? And as we look at some of the ice and weather that we’ve had in 1Q, would you expect that, I would expect that to be a positive contributor against what the pretty difficult comp for 1Q?
Thomas M. O’Brien: Yeah, look, I guess let me start with one of the good things about being in 46 states, 45 states is that things like weather tend to affect different areas of the country at different times and so that's one of the good things. We certainly don’t, generally extremes in weather are helpful to let’s say the truck repair business that you mentioned. So very hot weather tends to cause more tire ruptures and leads to more tire sales, more air conditioning work, those kinds of things. Very cold weather leads to more work on the selling chains and unfreezing the engines and things like that. But when it gets extremely extreme, that benefit particularly on the cold side in way [ph] road closing is not necessarily a good thing. And so, I would say because we’re in all of these states maybe some of the positives and negatives get dampened and it really sort of depends on the labor and the extremity as to weather will end up being a positive or a negative. So far I don’t see much in the way of under or over performance versus our expectations in the first quarter.
John Lawrence: Fair enough. That’s helpful. Thanks. Secondly focusing on the convenience store acquisitions you guys, there clearly appear to be continued opportunities there as you think about allocating capital, I would assume your outlook is more opportunistic than it is and maybe diverting an existing strategy obviously travel service is a core of your business, but I assume you like it the way that you see in the convenience store space and…?
Thomas M. O’Brien: Yeah, I think that’s fair to say. You know, travel store business for us I should say on a nonfuel revenue okay, that's a $1.6 billion probably all the C stores that we’ve purchased or have under contract aren’t – they aren’t 10% of that. And so we look for the best combination of available opportunities. And so that’s another way of saying yes, we tend to be opportunistic. If you have in mind the thing you want to buy before you identify it, you are going to spend a lot of time looking for that. If instead you work to develop opportunities in a larger space, you see also the combination of C stores and truck stops and are open to thinking about them and as your head in on straight and you are thinking about them correctly, you’ll develop the best or the optimal combination of growth opportunities. And keep in mind, I'm not just talking about external acquisitions right, and we’ve always kept a pretty good pipeline if you will of potential internal growth acquisitions. And so, these are the allocation of to capitalizing on opportunities is not a new thing for us because now maybe we are more interested in C stores than we were three years ago. We make those kinds of decisions all the time and I think have executed very, very well.
John Lawrence: Right, thanks. Lastly on the stores that you’ve acquired and those that are under contract, it sounds like they look pretty similar to the Minit Mart stores you have. Is it fair to think that the merchandise keeps that business in terms of profitability is somewhat similar as well?
Thomas M. O’Brien: I think it’s fair to say. I will tell you that the first opportunity that we’ve capitalized on the C store space, we did for a lot of reasons. The Minit Mart I'm talking about. And one of those is that, it was not particularly complex and so the opportunity that we developed for ourselves in that area was a group of stores that were clean, large, had all of the things that we think the modern or current consumer wants, you know, fresh food, a variety of food offerings. So that, you think of that package of assets as sort of ready to go. We are tweaking it here and there. We’re overlaying our systems and our contracts and all of that, that's where our values come. I would say that the ones that we’ve already purchased, the 26 and the 19 that we have under contract have most of the elements that we found in the Minit Mart, but there’s probably more opportunity for the addition of, not just our systems and contracts and merchandising, but the actual addition of quick service restaurants or delis. All of these things that we have may be unique abilities to do because we have so much experience with that in the truck stop business, so similar, but not exactly the same.
John Lawrence: Okay.
Thomas M. O’Brien: Yet, I think stabilization period is probably not more than a year.
John Lawrence: Okay, great. Thanks, best of luck going forward.
Thomas M. O’Brien: Thank you.
Operator: And next we'll go to Steve Dyer with Craig-Hallum. Please go ahead.
Steve Dyer: Good morning. Thanks for taking my questions.
Thomas M. O’Brien: Hi Steve.
Steve Dyer: As you dig into the fuel margins and it's been obviously sliced and diced a number of different ways, how beneficial is sort of a low stable rate of wholesale pricing versus the velocity and the direction of the pricing intra-quarter?
Thomas M. O’Brien: Yes, I would tell you that generally speaking, volatility is a good thing, because when prices go up and down that provides opportunity to I should say react to underlying commodity prices everyday and so and if it goes up what we try to do is to raise our prices fast as we can. If it goes down we lower the price as low as we can. Of course all of that has to be done in the context of the competitive markets that we’re in. That said, volatility present or no, it is also true that generally speaking, a general decline in fuel prices is more beneficial to our margins than a general increase. And I think those are the guiding sort of principles that you can think of when you’re thinking about our business.
Steve Dyer: Okay, great. And maybe I missed it, but any metrics for the recently acquired 26 Minit Marts to help us sort of model that off to think about contribution to the existing P&L?
Thomas M. O’Brien: Sure. I think when I can tell you and I don't want to get too granular particular for things that, we don't have, we've never reported on historically, because it just happened, but when you look at all of the stores, the C stores, standalone C stores that we have recently purchased, so the 31 Minit Marts, the 26 that’s already completed in 2015 and the 19 under contract, that adds up to 76 stores. And you can think about that as, I'm sort of adding five transactions in my head here so I apologize if I'm a little bit off, but the total gallons in the $80 million to $85 million range, nonfuel sales by $125 million. Those are the kinds of things that you should be thinking about and I think that gives you sort of what you need to sort of model that out, if that's what you're getting at.
Steve Dyer: Yes, helpful, thank you. There is a couple different dynamics you’ve talked about, one is always sort of, you are looking at the sale leaseback possibility as a source of liquidity. You’ve obviously done a fair amount of acquisition of real state as well. I mean, if you look over the next year or two would you expect to be a net buyer or a net seller of real estate?
Thomas M. O’Brien: Well, where we are today with acquisitions and agreed, pending and sort of look into the pipeline based upon our sort of experience and where we are with each of the things that we are talking about, compared to the $200 million cash we’ve got, the acquisition facility generation of EBITDA, I think that based on those things – let’s put it this way, I try not to agree to buy stuff that if it’s reasonably possible, I'm not going to have the cash and so there’s a good balance between those two things today. And if the acquisitions potential heats up we have obviously the opportunity to consider all kinds of transactions, one of which is sale leaseback and so it really sort of depends and that dependency is triggered by when and if future opportunities are ripe.
Steve Dyer: Great, thank you. That's helpful. Last question for me, any color on how Reserve-It is progressing either in terms of number of reservations or average revenue per?
Thomas M. O’Brien: I would say, I can give you the average, I don’t have it at the top of my head. The average reserve spot is in the $13 a night area and the growth in that part of our business is now for the single point on it's bigger, of course it is a very high margin business too because the costs are all sunken and fixed and small. I’ll tell you that the Reserve-It Parking is a small piece of the $1.6 billion of nonfuel revenue of there, but because, again because it’s so profitable and frankly so popular with drivers who are using it to increase their efficiency, meaning their roll time. They don’t have to think about, my goodness, where am I going to park, I'm not going to have enough time under the regulatory regime to spend a lot of time looking for parking, but oh, here is a way that I can get another two hours in roll time into my day. I just reserved that parking. I can make more money rolling another two hours that I can that is going to cost me $12 or $14. So it’s pretty popular and I think it's up and it continues to grow.
Steve Dyer: All right, great. Thanks a lot. Nice quarter.
Thomas M. O’Brien: Thank you.
Operator: Our next question is from Brian Hollenden with Sidoti. Please go ahead.
Brian Hollenden: Hi guys, thanks for taking my call.
Thomas M. O’Brien: Hi Brian.
Brian Hollenden: Can you talk a little bit more about the lower margin fuel business that you didn’t go after?
Thomas M. O’Brien: Yes, we are in a very competitive environment, always have been. And that competitive environment today includes an element of, as I've said the decreasing demand for fuel. And then choosing my words here, bear with me, but I would say that TA is - our approach to customers includes a value-add proposition, meaning we sell not just the competitive fuel price, but we think we can help customers with their efficiency ratios by, for example if you have your truck serviced where you buy fuel that may save you a trip. If you buy fuel at a place and your driver decides that he would like a meal in one of our restaurants that's a separate trip. If they buy fuel at a place, but cannot find parking there, that's a separate trip. And so, our business proposition, we lead with the value-add proposition that I'm talking about. And if we boil that down into the words that I've said today, of about lower margin business being avoided, all of those things, that's how we approach the market and those are the things that I think are net positives for our business overall and in part add to our fuel margin per gallon.
Brian Hollenden: That color, assuming fuel prices stay where they are today, not a lot of variability, what average gross fuel margin per gallon that we expect, is it something like $0.23 a gallon reasonable or would you consider that high?
Thomas M. O’Brien: Well, I would say we don’t - long ago got out of the predicting game, actually it never ended, but the small figure to say, I would say that the best thing for you to look at is sort of the 12-month period ended September 30, 2014, that's probably the best guide. And I'm not saying that we're going to match that or be over it or under it, but that is what I can tell you. The fourth quarter contained an anomaly. The fuel prices, the oil prices are not going to go from over 100 to 40 again because obviously now they are at 40, so certainly not from here. But again look at the last 12 months ended September for the base.
Brian Hollenden: Okay, thanks, and then one quick follow up on the convenience store acquisitions, any significant CapEx required for those few announcements?
Thomas M. O’Brien: No as a percentage of purchase price, not huge and nothing like that truck stop that we buy for $2 million and put sticks into it. So we're not talking about, these are not turnaround strategies. They are not turnaround acquisitions. They are opportunities to enhance probably you're talking about something in the nature of, I don’t know, maybe 20% of the purchase price at most would be added.
Brian Hollenden: Okay, thank you.
Thomas M. O’Brien: It's okay.
Operator: Our next question is from Steve Roberts with NorthPointe Capital. Please go ahead.
Stephen Roberts: Hi, great quarter.
Thomas M. O’Brien: Thanks Steve.
Stephen Roberts: Yes, I was just wondering your company is obviously an LLC, have you looked at becoming a C Corp, I think this would open up your investor pool and will get the stock into the Russell 2000 and obviously you have index of front buyer at the very least, is that being considered and what's the likelihood of something like that happening changing from LLC to a C Corp?
Thomas M. O’Brien: Honestly it is something that we’ve considered. There are some positives and some negatives, but frankly, we’ve got a ton of stuff going on that sort of bubbles to the top. So I would say we've thought about it from time to time. But it’s really today on my radar, but I take your question to mean that maybe it should be and so we’ll consider that too.
Stephen Roberts: Okay, and then on the land that was acquired for development, yes where is that at and what’s the cost to develop it and when might you do that?
Thomas M. O’Brien: We’ll probably begin that sometime in the first half of the year. The land, I want to say it’s 25 acres, we spent about $3 million for it, it’s in Illinois. And the cost of a new build truck stop without getting specific on this one, but we’ve got a number of projects that are either on the drawing board and in fact the one that we’ve already broken ground in Texas, you think about a new build anywhere from excluding land cost $12 million to $18 million.
Stephen Roberts: And there, are the returns on that somewhere to when you buy existing truck stops or is that, do the new ones tend to outperform or underperform?
Thomas M. O’Brien: They are similar, because the lead time is longer.
Stephen Roberts: Sure, okay. Thank you.
Thomas M. O’Brien: Okay, thanks a lot Steve.
Operator: And we have a question from Jeff Geygan with Milwaukee Private Wealth Management. Please go ahead.
Jeff Geygan: Yes, good morning gentlemen, nice quarter.
Thomas M. O’Brien: Hi, Jeff. Thanks.
Andy Rebholz: Hi, Jeff.
Jeff Geygan: Tom, can you just clarify with respect to the C stores did you say $85 million gallons fuel sale and that $125 million non-fuel on a pro forma for the 76 stores?
Thomas M. O’Brien: I said those numbers, but I didn’t call it pro forma. Those are the sort of ranges of historical performance, so yes not to mince words, but you’re correct.
Jeff Geygan: Yes, yes, but I just want, but that’s with the 19, the 26 and the 19 stores this isn’t just the 31 or the…?
Thomas M. O’Brien: That’s correct, you’re right.
Jeff Geygan: Yes, good to know. Yes with regard to fuel sales what is the margin differential between the C store and a travel center?
Thomas M. O’Brien: Yes, I’m not prepared to go into the granularity there, because it’s all over the place right. From the C stores there were much less geographically diversified than we’re in the travel centers. And where 100% of the sales are focused on consumers, it’s very, very different market. Underlying commodity costs will impact both similarly to the extent that that difference in geography doesn’t result in a very different base of commodity cost I would say a little bit differently. Buying diesel fuel and buying it in a lot of market, gasoline for C stores will stay the 31 Minit Marts that are concentrated in a particular market or state. The magnitude of changes in the underlying fuel cost maybe different than it is on a nationwide basis. And so, and I’m not answering your question, but just what I’m saying is, it’s subject to a lot of different things that are going to be different for every market and every time period.
Jeff Geygan: Yes, thanks that actually does answer the question, I appreciate it.
Thomas M. O’Brien: Okay.
Jeff Geygan: With respect to the stabilized energy prices in the last say 30 to 45 days and given that we’re near quarters end, would you be willing to share with us the fuel margin or last 45 days if that represents a more normalized fuel margin, the real question being now that we’re in a lower price environment can you still maintain that roughly $0.16 to $0.19 margin?
Thomas M. O’Brien: Well what I can say beyond the things I've already said, which is most of what I’m prepared to say, but what I can say is that generally speaking the generation of margin has more to do with competitive pressures and volatility day-to-day in fuel prices and not a lot to do with the absolute level of the fuel prices. What I’m saying is, so let’s say for a month fuel cost of $3 a gallon and in that month ahead 15 up days and 15 down days. If that same month fuel prices were to cross for a $1 a gallon and had the same 15 up days and 15 down days, I would have every reason to expect that the gross margin per gallon would be very similar for those two different months.
Jeff Geygan: Interesting, thank you, you made a comment about your competitive advantage it is intuitive your integrated service model. But, I’m a little curious if you have empirical data to validate that statement or the key indicators that you use to make that assertion?
Thomas M. O’Brien: The answer is I don’t have, if I had a magic bullet to prove it with numbers, our sales force would be unstoppable. And so, I’d love to develop one, but to-date I would say it’s more of the feel, it’s the anecdotes, I know there are some customers of TA who are fanatical about that concept. Others who believe it intuitively and others who frankly if you don’t want to hear or you don’t believe it or what have in it, it’s fine. The point that I made about all of those purpose of making that point was to sort of illustrate our approach to the marketplace and the way that we position the things that we have to sell.
Jeff Geygan: And it’s a very sensible statement, so I’m not arguing it, I’m just curious you have empirical data. Last question for you, I know we’re almost at the end of our time here. Minnesota, Missouri, Kentucky aren’t exactly contiguous. Does this further imply that you might but trying to fill in the space or is this simply a reflection of your opportunistic approach and how should we think about these C stores going forward?
Thomas M. O’Brien: It’s a little bit of opportunistic, but we also have to, there are a lot of companies that are in the C store business whether it’s public or private that tend to bunch up into markets. So that makes sense, because there is a geographic synergy that you get from not having 36 C stores in 36 states right, I don’t think anybody would do that. Our approach to geography, well in the truck stop business has always been, not that our market revolves around one central point, but our market is the interstate highway system, which is laid out in more or less straight lines across almost every state has at least two going North-South and two going East-West. So, we have to be everywhere and I think that may afford us the opportunity to cast a wider net than some of those that are in the C store space that are regional based, because generally speaking, we’ve got feet on the ground all over the place. And so, maybe that allows us to work on creating opportunities, like I said with a wider net than if we were starting from the C store space.
Jeff Geygan: Thank you, congratulations. Wishing you may more future quarters like this one.
Thomas M. O’Brien: Thanks, Jeff.
Operator: And Mr. O’Brien, I'll turn it back to you for any closing comments. Okay, all I want to say is, thanks a lot for your interest and we'll be back at some point in May to talk about the first quarter. Have a good day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.